Operator: Thank you for standing by. My name is Cass, and I will be your conference operator today. At this time, I would like to welcome everyone to the Element Solutions Inc. 2025 first quarter financial results call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer session. If you would like to ask a question during this time, simply press star followed by the number one on your telephone keypad. If you would like to withdraw your question, press star one again. I would now like to turn the call over to Varun Gokarn, Vice President of Strategy and Integration. Please go ahead.
Varun Gokarn: Good morning, and thank you for participating in our first quarter 2025 earnings conference call. Joining me today are our Executive Chairman, Sir Martin Franklin, President and CEO, Ben Gliklich, and CFO, Carey Dorman. In accordance with Regulation FD, we are webcasting this conference call. A replay will be made available in the Investors section of the company's website. During today's call, we will make certain forward-looking statements that reflect our current views about the company's future performance and financial results. These statements are based on assumptions and expectations of future events and are subject to risks and uncertainties. Please refer to the earnings release, supplemental slides, and recent SEC filings on our website for a discussion of material risk factors that could cause actual results to differ from our expectations and predictions. Today's materials also include financial information that has not been prepared in accordance with US GAAP. Please refer to the earnings release and supplemental slides for definitions and reconciliations of these non-GAAP measures to comparable GAAP financial measures. It is now my pleasure to introduce our CEO, Ben Gliklich.
Ben Gliklich: Thank you, Varun, and good morning, everybody. Thank you for joining. Element Solutions started 2025 strong. We grew profits and continue to see contributions from progress executing on our breakthrough growth strategies. The trends that drove our performance in 2024 continued to propel us forward. There's been no pause in demand from fast-growing AI, advanced packaging, and data center markets. And we also benefited from an improvement in consumer electronics markets in Asia. We grew mid-single digits organically despite ongoing softness in Western automotive general industrial supply chains and a mediocre market backdrop for Western smartphones. Our overall electronics business grew 10% organically, on the back of our ongoing strong execution and consistent investment to improve our value proposition in leading-edge semiconductor and power electronics technologies. Sales from our wafer-level packaging products grew more than 20% as programs on leading-edge nodes continue to ramp, including a significant pickup from high bandwidth memory applications. Order patterns from these customers remain strong. Similarly, despite well-documented weakness from a major domestic electric vehicle OEM, our power electronics business grew nicely in the quarter from new wins that have broadened our customer base. Several years ago, we had a collection of electronics businesses with good capabilities in select niches. Today, we have a single unified electronics business that is leading in important emerging categories, collaborating across its different product areas to provide system-level solutions to OEMs, and building a pipeline of breakthrough innovation that should support future growth. This has been a deliberate transformation, and we're only just beginning to see the results. Electronics is also supporting our business at a time of cyclical weakness. In addition to a weak overall backdrop in industrial markets, the segment suffered from timing-related delays in certain offshore projects. The offshore market remains healthy. We expect to recover those volumes in the second half of 2025. Despite these dynamics, profitability in the INS segment was relatively steady year on year due to modest raw material deflation and the proven price and cost discipline we've demonstrated for the past several quarters. Our results in the first quarter are not reflective of the level of macroeconomic volatility of the current moment. On the other hand, we have a demonstrated ability to be nimble in periods of uncertainty and a clear track record of navigating through these periods by focusing on our customers while also managing cost as necessary to preserve profits. So we remain steadfast in pursuing thoughtful long-term investment to develop strategic capabilities that support the technologies that we expect to drive our markets. In the recent periods of electronics contraction and recovery, we've maintained and selectively grown sales and technical resources needed to support those markets. You should not expect that investment posture to change with renewed market volatility. With our graphic sale completed in Q1, we're fortunate to have the strongest balance sheet in our history as Element Solutions Inc. We have substantial capacity to deploy capital to drive long-term shareholder value and expect the current market to create attractive opportunities. Carey will now take you through our first quarter business results in more detail. Carey?
Carey Dorman: Thanks, Ben. Good morning, everyone. On slide three, you can see a summary of our first quarter financial results. Organic sales and constant currency adjusted EBITDA both grew 5% year over year. Adjusted EBITDA of $128 million was above our guidance target for the quarter. Electronics organic growth of 10% was broad-based across historically higher margin, higher value categories in circuitry and semiconductor, as well as relatively lower margin assembly materials for consumer electronics. This translates into constant currency adjusted EBITDA growth of 9% in electronics. Element Solutions Inc.'s adjusted EBITDA margin declined roughly 30 basis points year over year in constant currency terms. These margins were negatively impacted by higher pass-through metal prices, which drove a 70 basis point headwind relative to the same quarter last year. Excluding the impact of roughly $100 million of pass-through metal sales in assembly solutions, our adjusted EBITDA margin would have been 26%, corresponding to a 50 basis point improvement versus last year. While FX rates have improved for us recently, currency negatively impacted total company net sales in the first quarter by roughly 3% and with a roughly $5 million year-over-year headwind to adjusted EBITDA. We expect this to reverse in Q2 and become a tailwind based on current exchange rates. On slide four, we share additional detail on the drivers of organic net sales growth in our two segments. In electronics, we saw double-digit growth with strong performance across all three business units. In assembly, stronger consumer electronics demand in Asia and the Americas more than offset continued industrial weakness, primarily in Western Europe. Advanced specialty solder paste volumes for various computing applications grew meaningfully, and we saw strong growth of technically challenging, engineered assembly solutions used in server and data center applications. Circulatory Solutions sales improved 8% organically, with growth continuing to come from data center applications, memory disk markets, and specialty finishes for circuit boards. The Asian EV market. Our business mix continues to shift towards B2B end markets as applications for servers, data centers, and high-performance computing grow rapidly. This transition should dampen both quarterly seasonality and general cyclicality over time. Semiconductor Solutions organic net sales grew 17% from continued robust demand in wafer-level packaging for semi-fab OSAT customers in Asia. Our viaform copper damaging product line grew north of 20% this quarter. The customer proximity we gained in 2023 by terminating our distribution agreement and going direct to our customers continues to yield great results. We expect to commercialize two new leading-edge products that further support advanced packaging applications later this year. Our power electronics products also continue to grow well in the first quarter. We have made substantial progress broadening the ArgoMax sintered silver technology customer base to electric vehicle manufacturers in Asia and in Europe. These new customer wins signal growing commercial traction and validate our leading technology position in a rapidly growing end market. Industrial and specialty organic net sales declined 2%. The 1% decline in the core industrial business was largely volume-driven and concentrated in Europe. We have not yet seen a pickup. Recent policy changes in Europe towards infrastructure and defense investment may drive an increase in industrial activity that should benefit our business. Offshore's year-over-year sales decline in the quarter was a result of timing for a few large orders that fell into the latter part of the year. We continue to expect healthy growth for that business this year on the back of pricing and new wins. Slide five addresses cash flow and the balance sheet. We generated $30 million of adjusted free cash flow in Q1. The adjustment takes into consideration the sale of our graphics business and certain nonrecurring expenses and tax items. The first quarter is always our slowest from a cash flow standpoint, given the semi-annual interest payment on our bonds and annual incentive payments. We invested $12 million into working capital, which primarily reflects a seasonal inventory build and higher accounts receivable due to increased sales. CapEx in the quarter was $11 million, somewhat below our guided run rate. We still plan to invest roughly $65 million over the course of the year to support strategic growth initiatives. Now turning to the balance sheet. Our net leverage ratio at the end of the quarter was 2.1 times, which is the lowest level in our history as Element Solutions Inc. Our capital structure remains fully fixed at an effective rate of 4%, and we have no debt maturities until 2028. And with that, I will turn the call back to Ben.
Ben Gliklich: Thank you, Carey. Our business fared well through the first quarter despite the specter of trade actions impacting business and consumer sentiment. But we're a short cycle business, and any economic assumption for the balance of the year comes with macro uncertainties. Given our global footprint, the recently announced trade actions have added complexity to our business ecosystem. In this uncertain moment, there are immutable aspects of our business that merit reiteration. We operate locally in most of our markets with sourcing, manufacturing, and technical support resources close to our customers. Our diversified and regionalized manufacturing footprint allows us to be nimble to accommodate dynamic trade flows. Our products represent a tiny fraction of the cost of high-value goods but are integral to their performance. Thanks to those attributes, we believe we can mitigate most of the direct impact from ongoing and potential future tariffs on our cost structure. Additionally, we're in the midst of initiatives to further localize sourcing and remain in regular communication with suppliers and customers around ways to mitigate cost issues that arise as a result of the ongoing tariff situation. There may also prove to be opportunities where competition may not have the same luxuries of flexibility and geographic breadth that we enjoy. In the absence of additional clarity around tariff implementation and its impact on demand, without any emergent signs of a slowdown in our core markets, and with some cushion provided by the weaker US dollar and outperformance in Q1, we are maintaining our initial full-year guidance of adjusted EBITDA between $520 million and $540 million as our current best estimate of earnings potential this year. For the second quarter of 2025, we expect a similar demand picture to Q1 and therefore expect adjusted EBITDA in the range of $120 million to $125 million, which is roughly flat sequentially when removing the $4 million contribution from our graphics business in Q1. This assumes that tariffs do not have a sequential demand impact, which is the best assumption that we can make today, especially based on April trading, which has been solid thus far. As we've demonstrated repeatedly in recent periods of uncertainty, whether during prior tariff escalations in 2019, COVID in 2020, or the inflationary impacts that followed, we're prepared to react quickly to shifts in demand and cost. We have a highly variable OPEX structure and local teams that can rapidly respond to customer needs. We are prepared to navigate the dynamic environment that has emerged. It was a good start to 2025. Commercially, we've built a high-quality, high-probability pipeline of large leading-edge opportunities and margin-enhancing industrial projects. We think these are unlikely to be derailed by current circumstances. Operationally, we're increasing manufacturing capacity for future growth areas such as nano copper and power electronics, streamlining our legacy manufacturing footprint, and we're building research and applications development in high-leverage geographies. We continue to execute other functional process improvement programs to add efficiency across the organization. Our company is executing well, with long-term growth prospects as good, if not better, than in the past. That is a tribute to our teams, who are responsible for another good quarter of both results and progress. So let me close by thanking all of our stakeholders for their continued support of Element Solutions and in particular, our talented and dedicated people around the world working productively and collaboratively and quite creatively, I would add, to support our customers and drive long-term value for our shareholders. With that, operator, please open the line for questions.
Operator: Thank you. At this time, I would like to remind everyone in order to ask a question, press star, then the number one on your telephone keypad. We ask to please limit to one question and one follow-up. We will pause for just a moment to compile the Q&A roster. And our first question comes from the line of Josh Spector with UBS. Your line is open.
Josh Spector: Hey, guys. This is James Cannon up for Josh. Congrats on a solid quarter. I just wanted to poke on the guidance range and particularly since you're not including any significant impact from tariffs. As we think about the low end of the range, can you just remind us what some of the macro indicators that are underlying that assumption are?
Ben Gliklich: Sure. Maybe just the big picture thoughts on the guidance range as just articulated in our prepared remarks. We finished Q1 ahead of plan. We see a modest impact from tariffs from a cost perspective. We're largely able to mitigate most of the impact from tariffs to cost. We've got an FX tailwind and our April trading remains strong. So we haven't seen any signal of demand destruction year to date from tariffs. And so it's on that basis that we're maintaining our full-year guide. There's nothing that's indicated demand disruption, and so the demand assumptions we had entering the year are the best we have. There's a bit of, I'd call it, more uncertainty around that range. But we haven't seen anything of anything April's ahead of plan. How do you get to the high end and the low end? It's really electronic strength and industrial weakness. Those are the two key variables. The electronics business is outperforming on baseline expectations entering the year. The industrial market is modestly weaker, I would say. And if that persists, it depends which one sort of overtakes the other to get to the various bookends of that range. And obviously, it doesn't include any demand destruction from tariffs, given the uncertainty around what tariffs will be implemented and when and what that will do to the consumer.
Josh Spector: Got it. Thanks. And just on a separate note, I just wanted to poke on you called out data center strength in both assembly and circuitry. I was wondering if you could frame like, just size the exposure there.
Ben Gliklich: Yeah. So as we think about our data center exposure in the circuitry business, we're selling circuit board process chemistry that goes into the large server boards. And that's a business that wasn't that big for us just a couple of years ago, but it's been growing really rapidly, double digits, year on year now for several years. And on the assembly business, we talked about high-performance specialty alloys, solder paste, and then engineered products that are used in server board assembly as well. Altogether, this is north of $100 million in both of those businesses. If you add in our memory disk business and circuitry, you're bumping up against $200 million of exposure in that market.
Josh Spector: Okay. Thank you.
Operator: Your next question comes from the line of Bhavesh Lodaya with BMO Capital Markets. Your line is open.
Bhavesh Lodaya: Hi. Good morning, Ben. Ben, on one more follow-up on the guidance. Assuming we do see a slower end market demand in the second half, and given how important the third quarter is for Element Solutions Inc., can you talk about some of the potential actions that you envision you can take to defend your annual guidance?
Ben Gliklich: Yeah. So Element Solutions has the benefit of a highly variable cost structure. It's something we've highlighted in the past and been able to demonstrate in the past. We can almost automatically take dramatic cost out of the business from incentive compensation, quickly tighten our belt around travel and other discretionary expense line items, without damaging the long-term growth trajectory of the business. And we flex that down if you go back to Q2 of 2020 where, you know, we took SG&A down 15-20% in a quarter. And so if we need to do that, we know how to do that. We can do that without difficulty. That's not contemplated in our guide right now. We're running with, I just call it, full OPEX out of Q1 and into Q2, and so those levers remain at our disposal.
Bhavesh Lodaya: Got it. And so much follow-up. Maybe a question for Sir Martin. Martin, you've been a large shareholder and obviously a big part of Element Solutions' growth story so far. As we look ahead from here, where do you see yourself as part of the Element Solutions story, and in terms of ownership and involvement in setting certain directions going ahead from here?
Martin Franklin: Didn't hear the question clearly. I was just asking.
Ben Gliklich: And put that in the context of recent?
Martin Franklin: So I think you're probably asking me why for the first time in twelve years, I sold some shares. And that's simply for liquidity reasons. And as a matter of principle, I wouldn't want to sell shares at a time when the business was obviously not inhibited in any way from my transacting or in a very healthy state. And, of course, as you can see, the business is in a very healthy state. It really doesn't change anything to do with my long-term vision for the company, my long-term involvement with the company, that was simply for liquidity purposes. It's taken a long journey for me, as you know, from founding platform to today, and I feel that persevering and working to put this business in the right position has been a journey that's appropriately being rewarded in the equity markets, not obviously with all this current disruption, but overall. So I don't think anything is changing. And taking a long time to really understand this business. And by the time I've gotten to the point where you really understand it, there's no point in stopping now. Appreciate the thoughts. Thank you.
Operator: And our next question comes from the line of Mike Harrison with Seaport Research Partners. Your line is open.
Mike Harrison: Hi. Good morning. What I've noticed within the semiconductor business is strong growth in wafer-level packaging, and you mentioned high bandwidth memory as a driver there. Can you give us a little more color on the key applications that you're serving in high bandwidth memory and maybe comment on how you see the opportunity unfolding there?
Ben Gliklich: Yeah. Our wafer-level packaging business continues to grow really nicely. The primary product in there is copper. And you'll recall in 2023, we terminated a term distribution agreement there. Gave us more customer proximity, better access to technology roadmaps. We talked about having a couple of new product launches coming in the back part of this year associated with the wafer-level packaging business and really directly attributable to that. So there's been very strong growth within high bandwidth memory. Those are Korean customers that are ramping their production significantly. Again, this is data center and high-performance computing driven, and we see a lot of growth opportunity there. And our product has established incumbency in that market going forward.
Mike Harrison: Alright. Then, also was just wondering, within the electronic business, you've been targeting 2% to 4% outperformance of the underlying market over time. In the current environment where there is some additional uncertainty or we might expect some potential slowing of the underlying market, how confident are you that you can still deliver on that outperformance of 2% to 4%?
Ben Gliklich: Appreciate that question, Mike. It's not as though we're coming off a period of really robust growth in the broader electronic supply chain. You go back to 2024, you had soft MSI. You did have a strong PCB market, which we nicely outperformed. And if you look at this quarter, our semi business growing in the teens is vastly outperforming the underlying semi market. And our assembly and circuitry businesses are both growing in double digits organically. The reason for that is our penetration of fast-growing emerging growth vectors. We refer to them also as these B2B sales. About data centers and low earth orbit satellites that are dislocated from the consumer electronic cycles that used to be primary drivers of our electronics business. We see those B2B markets as continuing to grow and have seen no slowdown in demand, if anything, an acceleration in demand there. And so we are confident in our ability to continue to outperform.
Mike Harrison: Alright. Thanks very much.
Operator: And our next question comes from the line of Steve Byrne with Bank of America. Your line is open.
Rock Hoffman Blasko: Hi. This is Rock Hoffman Blasko on the line for Steve Byrne. Just given the recent focus on re-triggering manufacturing location by the tariffs, as well as preparing for the potential of a consumer or an industrial demand pullback, is there any risk to the timelines of rollout for Blockbuster products such as ArgoMax, Cupreon, and ShadowPlus? As well as any other medium-term projects getting pushed out further.
Ben Gliklich: Yeah. It's a fair question, Rock. So there are two dynamics here. Right? The first is to protect ourselves and our customers from the impact of tariffs price increases. We're localizing certain parts of our supply chain, moving production from one site to another. That's a discrete tactical activity. We'd like to believe that we have fungibility across our sites from a production perspective. And so that's something that's ongoing by our local teams. On the other side, as you mentioned, we do have some big products coming down the pipeline that require discrete manufacturing. And the people working on those are different people. Right? So we are nearly finished with doubling our ArgoMax capacity at our site that produces that. And we've made real strides forward on active copper manufacturing and trying to scale that up. And we're expecting to have a new plant ready, a mid-scale plant ready to produce that in the second half of this year. So there's a lot of activity in the supply chain, but we're adequately staffed and resourced to support it.
Rock Hoffman Blasko: Understood. And just as a follow-up, could you go a bit more into how the industry business is performing geographically? And key market drivers that enabled only a 1% organic sales drop this quarter.
Ben Gliklich: Yeah. It's a good observation. The industrial surface treatment business, which sits within our industrial and specialty segment, had revenue and volume down about 1%. That was weakness in Europe. A relatively stable, slightly down market in the Americas, and some strong growth coming out of Asia. And so our Asian industrial business is winning share, is participating in the growth in the automotive sector in China, and benefiting from that.
Rock Hoffman Blasko: Thank you.
Operator: Your next question comes from the line of Chris Parkinson with Wolfe Research. Your line is open.
Chris Parkinson: Great. Thank you so much for taking my question. Ben, it's very clear that premiumization of the portfolios has obviously already been paying off and perhaps paying off even more despite the uncertainty. Can you just get on some of the things, getting away from tariffs for just a second, but just what makes you the most enthusiastic across both assembly and circuitry, and how you see your product offerings evolving throughout 2025, 2026? What you're in front of the marketplace, and perhaps if you could sneak in a comment on Cupreon in there as well. Be greatly appreciated.
Ben Gliklich: Yeah. Absolutely. So you asked about circuitry and assembly specifically, and so I'll address those two. I think the general observation that we're seeing a shift towards high-value B2B sales in both of those businesses is very exciting. And we'll change some of the cyclicality that you might have seen in our assembly business and our circuitry business in the past. So, our technologies for these very high-performing server boards are different than the GPUs themselves, but the boards that the GPU sit on inside of those data centers are very thick, very difficult to metallize. And we've got the flagship products and techno process technology for that application. And so we've been winning significant share there. We've made real strides penetrating the IC substrate market, which has been a softer market within the circuit board or within the circuitry industry, but has long-term very high performance or very high growth opportunities associated with it. We've won real business with final step metallization or what it's called solder preparation for electric vehicles where there's an immersion pin product that's been growing really nicely in the Asian electric vehicle market. So all across the circuitry business, we're seeing new demand vectors where our technologies are preferred processes. In the assembly business, we've been skewing that business towards higher tech applications through innovation and alloys, some engineered products that have really interesting applications in data centers. And then Active Copper isn't contributing yet. And that's Cupreon. The number of applications and the pull from the customer base is incredibly robust. The engagement with OEMs, OSATs, specifiers, applicators remains really, really high. And so our conviction in the earnings potential of that technology is rock solid. And just an added layer of growth from here forward.
Chris Parkinson: It's great color. And just as a quick follow-up, I think the balance sheet is in a pretty good spot, especially after the graphic sale. Can you stay hit on you can just give us some insights on how you're thinking about some of the tuck-in M&A you've discussed before, buybacks, and just your comfort level going forward for the balance of 2025. Thank you so much.
Ben Gliklich: Yeah. Absolutely. Thanks for the question, Chris. So leverage is as low as it's ever been in our history, six-year history as Element Solutions. Balance sheet is in really good shape. We paid down some debt and still have $500 million of cash to deploy. And there's a lot of volatility right now, and the volatility should create interesting opportunities to deploy that capital, and we're very well positioned to take advantage of them. With regard to M&A versus buybacks, I think the simple observation I'd make is that the hurdle for M&A is higher with our equity where it is. That doesn't mean that there can't be any very compelling M&A created by this opportunity, but the buyback option looks pretty interesting too. Thank you so much.
Operator: And your next question comes from the line of Pete Osterline with Truist Securities. Your line is open.
Pete Osterline: Hey. Good morning. Thanks for taking the questions. I wanted to start by following up on the impact that tariff uncertainty might be having on customer conversation and order patterns. I guess, specifically, have you seen any signs of tariff-related prebuying across your core end markets either in the first quarter or in April?
Ben Gliklich: That's a good question, Pete. And that's something we've been looking for evidence of. We see the sort of headlines of folks buying new phones in anticipation of tariffs. But from where we sit in our supply chain, we're not seeing that as a direct pull on consumption of our chemistries. And so we really don't see any clear evidence of this being a prebuild. That's not to say that some of the demand isn't, but again, if you think about where the growth is coming from, these are B2B sales and you can see the capex that's driving it, whether that's in data centers or in the electric vehicle market or in the lower earth orbit satellite markets. And so we don't think that this is driven by prebuild or prebuying, but some of it could be, in fairness.
Pete Osterline: That's very helpful color. As a follow-up, I just wanted to ask about the margin performance within IMS. You had nice expansion there in the first quarter despite organic growth being down. So I guess just looking to the rest of the year, as the energy business comes back, would you expect to drive segment margins higher from here? Or were there any benefits to call out from mix or costs that were limited to the first quarter?
Ben Gliklich: Yeah. It's a good observation. Right? That offshore business is a high-margin business for us, and it was down year over year. We talked about that in the prepared remarks, what the drivers of that are, and we do expect it to get better in the second half, which will drive margin expansion all else equal. The reason that margins improved is the standard cost price discipline we've exercised, and we've seen some ongoing raw material deflation, which we expected entering the year. And so there is reason to see that industrial and specialty segment margin improve going forward. I don't care if there's anything we've done. Yeah. I just think the other point to make is that volumes in the core industrial business are still down meaningfully from their peak. And while we are a highly variable cost model, getting more volumes at those plants does have some operating leverage. So we're not anticipating a lot of that in 2025. But that's still upside to margin if you think about the long-term opportunity there.
Pete Osterline: Alright. Very helpful. Thank you.
Operator: Your next question comes from the line of John Roberts with Mizuho. Your line is open.
John Roberts: Thank you. And nice quarter and guidance. I assume your March quarter results and your June quarter guidance has a bonus accrual consistent with your full year? Previous earnings targets or if not, could you tell us what you're assuming there?
Ben Gliklich: Yeah. Look, as we answered the question earlier, we're running with full OPEX right now. So we haven't been reducing bonus accruals on the basis of demand destruction that we haven't seen any of yet. So we have that full lever at our disposal.
John Roberts: And any seasonal differences you're expecting here in the next second, third, and fourth quarter versus what you had in 2024?
Ben Gliklich: That's a great question, John. And it speaks to the Q2 guide. It's hard to say what a normal year is, but if you go back several years, typically, the second half was 52-53% of EBITDA and the first half was the balance. The past several years have had a lot of different lumps associated with supply chain disruptions and all the things we've lived through. Last year, interestingly enough, the second quarter was quite strong in electronics, benefiting from the prebuilds of smartphones that typically fall into Q3, and other consumer electronics device launches. So we had a stronger Q2 than typical, and we didn't have the same level of Q3 uplift that we normally would have. So when we look at Q2 this year, we're assuming a more, I'll call it, normal seasonal pattern on the basis of consistent demand from Q1 into Q2. Thank you.
Operator: And your next question comes from the line of Jon Tanwanteng with CJS Securities. Your line is open.
Jon Tanwanteng: Hi. Thanks for taking my questions on that next quarter. The first one, just expanding a little bit more on the stronger demand in April, I guess, the stable demand. Are you seeing any pockets of weakness or strength in there, or is it a straight line continuation of what you saw in Q1 by end market, number one?
Ben Gliklich: Yeah. It's really consistent with Q1. In some areas, a modest acceleration around semi is what I would say.
Jon Tanwanteng: Okay. Great. And then for the year, I wanted to be clear. Are you assuming zero demand destruction from the current tariff environment, say a base level of 10%? And, you know, with the potential for more depending on the countries and where negotiation goes. Is that what I'm hearing?
Ben Gliklich: In terms of what the underlying function is at this point? Yeah. We're assuming the same, in aggregate, the same demand environment that we expected entering the year.
Jon Tanwanteng: Okay. Great. And that's, you know, if you see, for example, the continuation of a 145% for China through the rest of the year, that's not going to meaningfully impact what your expectations are for demand.
Ben Gliklich: It's hard to say to put parameters around that because you're going to take, for example, the latest tariff in the tariff argument exempting a whole series of products that we are a part of the manufacturing process. So, you know, the devil's going to be in the details. So I wouldn't, I think trying to micro pick up that doesn't really work because you're dealing with an environment that's so volatile. So this is on the assumption that the world is continuing as normal. And importantly, it's taking into consideration the cost impacts of that. Right? And so what we're saying with this is, you know, we can mitigate the impact of tariffs on our cost structure and maintain our guidance range on that basis. Yeah. We can go through the levers of, you know, what we're doing to offset cost in the different buckets if that's a follow-up that folks want to go into.
Jon Tanwanteng: Great. No. That makes sense. Thank you, guys.
Operator: Your next question comes from the line of Alexi Yefremov with KeyBanc Capital Markets. Your line is open.
Ryan: Thanks, and good morning. This is Ryan on for Alex. Ben, I guess I'll take the low-hanging fruit here and just ask you, you know, what exactly are you guys doing to kind of mitigate the costs that are coming in the supply chain from tariffs at this point?
Ben Gliklich: I set myself up for that one. So there are really three buckets of cost increases that we're seeing from client tariffs. The first is raw materials that are imported from China into the United States. And we don't do much of that ourselves. We do have suppliers that are sourcing from China. And so we've spent a bunch of time trying to find alternative sources and understanding what those cost impacts would be to us. And that's a pricing lever that we've had to throw, and we've been very clear. And we've done this in the past when we've seen inflation of specific commodities where we pass that on to customers directly. The second bucket is finished goods or rather other things that we're importing into the US from places other than China. And so one example is Mexico. We've got quite a bit of cross-border trade with Mexico. Unfortunately, we qualify for the USMCA exemptions there. And so figuring out what products are going back and forth and making sure that they do qualify for those exemptions has been a big piece of work, and we've got confidence that that 10% tariff on imports in the United States isn't going to be meaningful for us. The third bucket is things that we're shipping from the United States to China. And we do have some finished goods and raws that we're shipping into China. And what we've done to mitigate that impact is localization. Right? And so moving our sourcing and moving our manufacturing from the United States to jurisdictions in Asia. Maybe not directly into China, and shipping through and shipping to China from there. And that should be able to offset most of that impact. And net-net, we don't view it as a headwind to our guidance.
Ryan: Understood. That's helpful. I guess just sticking on this topic, I mean, you talked about kind of China to the US and US to China. Can you maybe just size in on a dollar basis or a percentage basis of goods just kind of, like, what your actual exposure there is? Thanks.
Ben Gliklich: US to China is, you know, in and around $10 million. China to US direct is negligible. Again, that's through our suppliers. And then the finished goods into the US from other countries is sizable. But, again, we've been able to offset that through exemptions and also some level of localization.
Ryan: Great. Thank you.
Operator: Your next question comes from the line of David Silver with CL King. Your line is open.
David Silver: Okay. Thank you. I had a question, I guess, about maybe some of the behaviors of some of your major customers, and I'd like to maybe focus on your R&D activities and your product development activities, in particular where you're collaborating closely with customers. But has the current uncertain environment that everyone's asking about had a notable impact on the company in terms of the pace or the resourcing, you know, behavior of your customers? In other words, for longer-term projects where you're collaborating, what has been the behavior? Has there been any change from your major customers, you know, given the current uncertain environment?
Ben Gliklich: The short answer, David, is no. You know, we're working on long-term projects associated with breakthrough technologies. And, you know, the industry, the market, the consumer is pulling those technologies, and so we continue to see a very active level of engagement between our R&D functions, our direct customers, specifiers, OEMs. The business is very local. And so our innovation is not just on the breakthroughs, but it's on new applications technologies. It's on sustainable applications. And we've seen no pause in momentum whatsoever. You heard us talk about two new product introductions we're expecting in our most advanced front-end area at the end of this year, and those are continuing at pace.
David Silver: Okay. Thank you. And then just one last one. But if I caught your comments correctly, I think regarding consumer electronics, you've indicated maybe a slowdown or softness in the western, I think, smartphone market. Then you also talked about a pickup in that category in Asia. And I'm just wondering if you could maybe just flesh that out a little bit. Is that company-specific? Is there a big shift going on that you see? And, you know, why wouldn't the softness in the western why wouldn't the western consumer electronics market start to look a little bit more like the growth of your performance in Asia going forward?
Ben Gliklich: Yeah. You call out an interesting note, which is we talked about strength in consumer electronics in the Americas, but softness in smartphones in the west. That consumer electronics strength in the Americas is PCs and other consumer electronics, you know, excluding smartphones. There was strength in the local Chinese smartphone market in the quarter. Right? We've seen some, you know, government subsidy to drive consumer activity in China. And so we did see strength in that local market. That's not for export. And also strength in non-smartphone consumer electronics in the Americas. That's the distinction that I would call that you've picked up and that we saw in the first quarter.
David Silver: Okay. Great. Thank you very much.
Operator: Again, if you would like to ask a question, press star one on your telephone keypad. Since there are no more questions from the queue, I will now turn the call back over to Ben Gliklich for closing remarks.
Ben Gliklich: Thank you, Cass. Thank you, everybody, for joining. Look forward to seeing many of you in the weeks and months to come. Have a great day. Take care.
Operator: Thank you. Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.